Operator: Good morning and welcome to the Beazer Homes first quarter fiscal 2009 earnings conference call. Today’s call is being recorded and will be hosted by Ian McCarthy, the company’s Chief Executive Officer. Joining him on the call will be Allan Merrill, the company’s Chief Financial Officer and Bob Salomon, the company’s Chief Accounting Officer. Before he begins Leslie Kratcoski, Vice President of Investor Relations will give instructions on accessing the company’s slide presentation over the Internet and will make comments regarding forward-looking information. Miss Kratcoski you may begin.
Leslie Kratcoski: Thank you. Good morning and welcome to the Beazer Homes conference call on our results for the quarter ended December 31, 2008. During this call we will webcast a synchronized slide presentation. To access the slide presentation, go to the investor home page of Beazer.com and click on the webcast link in the center of the screen. Before we begin you should be aware that during this call we will be making forward-looking statements. Such statements involve known and unknown risks, uncertainties and other factors that may cause actual results to differ materially. Such risks, uncertainties and other factors are described in the company’s SEC filings, including its annual report on Form 10-K for the year ended September 30, 2008. Any forward-looking statement speaks only as of the date on which such statement is made and except as required by law we do not undertake any obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. New factors emerge from time-to-time and it is not possible for management to predict all such factors. Ian McCarthy our President and Chief Executive Officer and Allan Merrill, our Executive Vice President and Chief Financial Officer will give a brief presentation after which they will address questions you may have for the duration of this one hour conference call. We are also joined by Bob Salomon, our Chief Accounting Officer. In the interest of time and allowing everyone a chance to ask questions, we do kindly request that you limit yourself to one question and then one follow up. I’ll now turn the call over to Ian McCarthy.
Ian McCarthy: Thank you Leslie and thank you all for joining us on the call today. Before we begin our discussion of the results we released this morning and the current business environment, I would like to make a few brief comments on the company specific issues that we continue to work through. As previously disclosed, Beazer Homes and our subsidiary Beazer Mortgage Corporation are under investigation by the US Attorney’s office in the Western District of North Carolina and by other federal and state agencies concerning matters that were the subject of our audit committee’s previous independent investigation. We continue to fully cooperate with the ongoing external investigations and to defend the company’s interest in the related civil litigation. At this point I would like to confirm that with respect to ongoing investigations, litigation and possible future settlements of public filings to date speak for themselves and until definitive resolutions have been reached we cannot provide any further comment beyond the details included in those filings. We remain absolutely committed to our enhanced compliance program and our code of business conduct and ethics. We are also pleased to welcome Kenneth Khoury to Beazer Homes, who joined us as Executive Vice President and General Counsel in January. Less recently Ken was General Counsel of Delta Airlines and his 30 plus year legal carrier has included both private practice and extensive in-house counsel experience, including 15 years with Georgia-Pacific. His depth of experience managing a broader array of corporate legal activities across multiple and complex industries will be extremely valuable as we navigate the current challenges in the housing market. Turning to the business environment, I am sure it comes as no surprise when we say that the housing industry continues to face the most difficult business conditions in many decades. During our first fiscal quarter, this challenging environment was greatly exacerbated by continued weakening in the overall economy, characterized by rising unemployment, low levels of consumer confidence, and ongoing disruptions in the financial and credit markets. All of which negative impacted by demand for new homes. Against this bank drop we continue to adapt to the reality of lower home closings by further reducing our cost structure. Combined with our disciplined focus on generating and maintaining liquidity, we believe these actions will help us weather this unprecedented housing environment. We currently believe that any economic stimulus plan ultimately passed by Congress will address housing, which we view as a positive, but exactly what form that takes remains unclear. In the meantime and until there are signs of stabilization and horizon we continue to diligently focus on controlling what we can to best position ourselves in the current environment and as such we maintain a very disciplined and cautious operating approach. Our financial results for the first quarter are a reflection of the difficult market and economic conditions that we and our peers continue to face. Nonetheless, we reiterate that in these difficult times to maintaining and enhancing a sound financial and liquidity position remains our top priority. At the same time we continue to implement near and long-term strategies aimed at returning to profitability and positioning ourselves from the eventual market recovery. These strategies include continuing to pursue direct cost reductions and the efficiencies in our business. Reallocating capital and resources within our geographic foot print and differentiating our homes through our smart design and e-smart initiatives. This past weekend marked our third annual February promotion and this year, we focus the promotion on our e-smart value proposition through an eco sales event, encouraging buyers to save money and save energy with the purchase of a new Beazer Home. While the preliminary sales count was below last years level, it represents an important and hopefully sustainable improvement from the levels experienced during the first fiscal quarter. On the cost reduction front, we have taken meaningful steps throughout the downturn and continue to do so. As of December 31, 2008, we had reduced overall headcount by 32% from levels of December 31, 2007 and by over 70% from peak levels in early 2006. In January, we took the difficult decision of further reducing our headcount by approximately 300 and also flattened our structure by eliminating our regional organizations. We expect to incur approximately $4 million in severance and other costs related to this reduction in force during the second quarter of this fiscal year. While such decisions are not taken likely, it is being necessary to continue to align our cost structure with the reality of lower home closing volumes as the housing slowdown has persisted. Over this time period in order to efficiencies, we have reorganized marketing, purchasing, and accounting functions, and consolidated certain divisions. Our SG&A expenses for the first fiscal quarter declined 36% compared to the same period a year ago and approximately 50% compared to two years ago driven in large part by these actions. In terms of direct construction cost, we continuously collaborate with supply chain partners and conduct ongoing contract review and negotiation. In addition, we continue to achieve direct lower home construction costs through reductions in house plans and specification, SKU rationalization, and intensive value engineering. We’ve also recently appointed one of our most experienced senior operating managers to head up an even more focused initiative to further streamline every aspect of our purchasing and procurement activities and further implement best practices across the organization. Let’s now review our financial results for the first quarter of fiscal 2009. For the first quarter we experienced a total revenue decline of 54% from the same period in the prior year. Total gross profit for the quarter before impairment and abandonment charges declined 150 basis points to 11.4% year-over-year, but improved by 450 basis points from 6.9% in the September quarter. The sequential improvement is attributed to the benefit of previous impairment charges, a sequential increase in average selling price due to mix, as well as lower direct construction cost and a greater level of rebate income. After impairment and abandonment, gross margin for the quarter was 5.9% compared to a gross loss of 20.8% for the comparable period of the prior year. This was the result of lower inventory impairment and option contract abandonment charges in the first quarter compared to the first quarter of the prior year. Net loss from continuing operations was $2.08 per share compared to a loss of $3.57 per share in the prior year. For the first quarter, homebuilding revenues declined 53%, resulting from a similar decline in home closings, while the average selling price of homes closed during the quarter was generally flat compared to the same period of the prior year. A year-over-year consistency in average selling price was due to changes in both product and geographic mix as generally housing prices continue to fall across the country during the past year and continue to exhibit weakness during the quarter. To help illustrate how aggregate changes and average selling price do not necessarily provide clear indications of overall pricing trends, our two markets with highest level of closing, Indianapolis and Houston, each had year-over-year average selling price increases of approximately 8% to 9%. In other markets, including several in Arizona, California, Nevada, and Florida, we experienced double-digit declines in average selling price year-over-year indicative of overall pricing trends reported in these and many other areas of the country. Home closings declined in all segments with the most significant declines in the east, southeast and not surprisingly our exit markets. It is important to note that we have essentially completed our remaining homebuilding markets in the exit markets, which comprised our early segment. As of December 31, we only had ten homes left to close, four of which are currently in backlog. In-light of the significant turmoil on the economy and financial markets during the quarter, there was a general hesitancy by consumers to make home purchase decisions. As such we did not pursue a strategy of offering additional sales incentives or sales price reductions in order to generate additional sales. Based on our belief that such a strategy would not significantly improve the level of new home orders for the first quarter. Based on this strategy, new home net orders totaled only $545 for the quarter, a decrease of 56.5% from 1,252 net orders in the first quarter of the prior fiscal year. Net orders declined 49.4% in markets where the company maintains a presence and 93.9% in the exit markets. The cancellation rate for the first quarter was 45.6% compared to 46.6% for the same period in the prior year. Resulting backlog as of December 31, 2008 was 965 units with a dollar value of $227.2 million representing a 57% and 63% decline from the unit and dollar value backlog levels as of December 31, 2007. I would now like to turn in over to Allan Merrill, our Chief Financial Officer to further discuss our financial results and other items. Allan?
Allan Merrill: Thank you Ian. First, I would like to spend a few moments on the various non-cash inventory related and goodwill impairment charges incurred during the first quarter. As with our previous filings you will find additional disclosures as it relates to impairment charges by segment in our 10-Q, which we will file later today. Inventory impairments totaled $12.2 million in the December quarter. Of that amount $12 million related to properties held for development and the remainder related to land held for sale. Impairments on help for development inventory were primarily in the west and east segments. The December quarter impairments represented 339 lots in six communities. In preparing our first quarter inventory impairment analysis, we attributed much of the decline in new home orders to the unprecedented macro economic events, which led to a significant curtailment of consumer purchases including homes, cars, and other big ticket items. As Ian indicated, we did not offer additional incentives during the quarter to purchase volume. As we indicated in our press release issued this morning, if we resume offering additional sales incentives or sales price reductions in response to further market deterioration it is possible that such changes could lead to additional impairments and that the level of reduced inventory impairments for the first quarter may not be indicative of future levels of impairments. During the December quarter, we also incurred lot option abandonment charges totaling $465,000 and further reduced the carrying value of our interest in joint ventures by $1.3 million. Finally, we recorded a pre-tax $16.1 million goodwill impairment charge related to the company’s goodwill in Houston, Maryland, and Nashville. As of December 31, 2008, we had no goodwill remaining recorded on our balance sheet. Our land position as of December 31 totaled 36,642 lots, 75% of which were owned and 25% of which were controlled under options. This reflects reductions of approximately 8% and 37% from levels as of September 30, 2008 and December 31, 2007, respectively. Excluding property held for sale, 46% of our remaining owned lots where either finished lots or lots upon which home construction had commenced, only 1% was in the form of raw land. We continue to exercise caution and discipline with regard to land and land development spending. During the first quarter of fiscal 2009, we spent $59 million on land and land development, compared to $108 million for the same period a year ago. The land and land development expenditure for the first quarter included approximately $20 million related to the renegotiation of several land banking arrangements, which enabled us to complete land purchases at meaningful discounts to previously contracted prices. Together with approximately $10 million in purchases made in the fourth quarter of fiscal 2008, and $20 million of purchases to be concluded during the second quarter of this fiscal year, we will have satisfied our obligations under these arrangements. The remaining $20 million is included as options with specific performance provisions in our consolidated balance sheet and other liabilities. This was a situation where our liquidity allowed us to capture a significant discount on future lot prices in several of our existing community. We did not have any other sizable multi-market land banking arrangements that are subject to similar opportunities. As we indicated last quarter, based on current sales paces, we have relatively few active communities that will require significant land or land development spending in 2009. In light of this and with our intense focus on maintaining liquidity, our current expectation is that land and land development expenditures will be below last year’s level of $333 million by approximately $100 million. We continue to maintain strong discipline with respect to new home starts and speculative inventory. As of December 31, 2008, we had 503 unsold finished homes and 597 unsold homes under construction, representing declines of 26% and 46% respectively from year ago levels. The modest sequential increases from September 30, 2008 are representative of the national seasonality of the business as we prepare for the spring selling season. As of December 31, 2008 our total debt stood at $1.7 billion decreasing about $46 million from the prior year and $11 million from September 30, 2008. We had cash and cash equivalents of $437 million compared to $584 million at September 30, 2008 and $237 million at December 31, 2007. There have been a fair number of questions about the sequential decline in our cash balance from our fiscal year-end in September. The September quarter is historically a high water mark for us as it relates to cash balances and is usually our strongest quarter in terms of home closing. Consistent with the seasonal nature of our business the December quarter is traditionally a use of cash quarter as we generate pure closings coupled with investment needs in advance of the expected seasonal increase in sales in the spring. This was the case this year as well. In addition we made the $20 million purchase of land related to the land banking arrangement, had approximately $48 million in interest payments, and as previously announced restricted approximately $19 million in cash to sufficiently collateralize our outstanding letters of credit under our revolving credit facility. As such, we don’t think changes in cash during our first fiscal quarter should be extrapolated to arrive at an estimate to a change in cash for all of fiscal 2009. We continue to be in an environment of very low visibility for the business. This includes visibility into the effects of any stimulus plan which is yet to be finalized. As such we are not prepared to give a year-end cash forecast at this time. I can say that owing to the $168 million tax refund already received, our large concentration of finished lots and the associated reduction in anticipated land spend, our efforts to reduce overheads and savings we are achieving in direct cost, we are making every effort to maximize our cash position as we work through this fiscal year. It is possible that we will generate cash this year, but that will be dependent on a number of home closings, which we cannot predict at this time. At December 31, we had no cash borrowings under our secured revolving credit facility and had no plans that would require cash borrowings. As a result of changes in the collateral pool, we will post an additional $1.7 million of cash to fully collateralize our outstanding letters of credit. I would now turn it back over to Ian.
Ian McCarthy: Thanks Allan. Before opening it up to questions, I would like to express my appreciation to our many stakeholders. In particular, I would like to thank all of our Beazer ambassadors for their tireless efforts during the first quarter, who will be instrumental towards achieving our primary objective of generating and maintaining our liquidity throughout fiscal 2009 and positioning us for a return to profitability upon the market recovery. We would now be glad to answer your questions and I would ask the operator to give the instructions for registering your questions.
Operator: (Operator instructions) Our first question comes from Michael Rehaut of JPMorgan
Michael Rehaut – JP Morgan: Thanks, good morning everyone.
Ian McCarthy: Good morning Mike.
Michael Rehaut – JP Morgan: First question just on the cash, I know you kind of gave us much as you could basically and there is still a lot of variability in terms of how things are going to play after next nine months, but the – Allan when you said, it is possible you can generate cash this year, were you referring to pure cash flow from operations, excluding tax refunds?
Allan Merrill: The answer for the question Rehaut is no and I appreciate a chance to clarify that. I think the indication that I was giving is that our cash balance at the end of the year has possibility of being greater than what it was at the beginning of the year or the end of our prior fiscal year, but that will be directly tied to close-ins, which we are not forecasting at this time.
Michael Rehaut – JP Morgan: Right. I mean are those comments – do those comments include the cash tax refund?
Allan Merrill: Yes.
Michael Rehaut – JP Morgan: That’s correct. And so, can you give us an idea of what type of units or closings you would need to get to a positive cash flow?
Allan Merrill: At this point we are going to refrain from making us kind of guesstimate.
Michael Rehaut – JP Morgan: Okay. Second question just on the capital structure, I know you kind of been hamstrung by the litigation and investigations that are pending right now, any update to – efforts to recapitalize or what you are – in that arena, I mean at this point you have inventory that is, inventory in cash that is about only 20% above your debt, given further impairments that could quickly fall below, so just any strategy or insight into how you are thinking there?
Allan Merrill: Well I guess the two comments I can make or remake I guess, firstly we continue to expect to – I guess our plan to attempt to resolve the issues with the regulatory authorities before we address the right side of the balance sheet and that continues to be the case. And secondly, as we have been for sometime, we continue to be in an active listening mode and we’ve had lots of constructive suggestions from all sorts of constituency about things we might consider and we continue to receive those suggestions.
Michael Rehaut – JP Morgan: Okay thank you.
Allan Merrill: Thanks Mike.
Operator: Our next question comes from David Goldberg of UBS.
David Goldberg – UBS: Thanks, good morning guys.
Allan Merrill: Hello David.
David Goldberg – UBS: First question is actually on the impairment charges, I’m just trying to get an idea, given that you guys decided to stop cutting prices and the way the mechanics of impairment testing work, did you consider using the lower price in your indication of impairment test to reflect what kind of pricing you might need to actually clear sales at the level we are today?
Allan Merrill: Well David it is obviously a complicated set of questions tied up in that, I think what we have typically done is relied on the facts of what we are selling, prices and absorptions, what our competitors are selling prices and absorptions when prices are lowered and that’s a fact that is manifest in home sales contract that clearly factors into the equation in doing the impairment testing. We made a number of sales, obviously was down 54% from last year, but we made a number of sales during the quarter without having to offer the so called extra inducements. So, we used the facts of our pricing and absorptions and our impairment analysis as we always do. What we didn’t do was try and chase an extra one or two or three hundred units with price because had we done that then we would have had to consider whether or not those prices were inductive of current market trends. And what we try to say is that we wanted to get into the spring selling season out of what is obviously the weakest period seasonally and all of the macro issues that were happening in the quarter to have a better sense of where markets were and I think over the next 90 to 180 days, we would have a pretty sense of that and if things change our impairment calculations will reflect that.
David Goldberg – UBS: Thank you. Thorough answer and I appreciate the detail. This is the second question, I know you can’t talk too much about the investigations, but just trying to get an idea on the timing, I assume this is going to drag on a little bit longer than people thought it was going to, and why is the investigation – kind of broad high level details, why is it taking longer, it’s not potentially broader and sobering like that, and maybe give us an idea when you would suspect that we could get some sort of resolution on it?
Ian McCarthy: David it is very difficult for us to give any further clarification on that as you know we really can’t, I mean all we can say is what we have said in our filings and we are actively trying to resolve those issues in cooperating with the authorities wherever we possible can to resolve it. We understand that it appears it is going to take some time, but I assure you we have a commitment to trying to resolve it.
David Goldberg – UBS: Great thank you.
Operator: Our next question is from Ivy Zelman from Zelman & Associates.
Dennis McGill – Zelman & Associates: Good morning, actually it is Dennis on for Ivy. Hoping you could provide a little more color on the option contracts, perhaps you mentioned you had exercised through the land banks as far as what areas are these contracts in, what was the pricing relative to initial pricing and how do you feel comfortable retro gain, or is absolute attractive pricing as opposed to looking at relative to the prior pricing?
Allan Merrill: Well obviously it is all factored in. This related to nearly a dozen different individual land banking agreements that had the same counter party and we looked at that in the aggregate and looked for an opportunity to dollar cost down our pricing. I think the fact that we had cash gave us a lot of leverage in that discussion, we clearly were aware of our current sales prices and what was happening from a competitive standpoint, I think we had some market indications to value and it wasn’t solely done in the context of what the historically contracted values were. And we thought it made sense. You know these are all individual decisions, but because we had the ability to take a group of these and deal with them in total with one set of negotiations, we just thought it made good sense and it was purely optional. It was a opportunistic decision by us and one that we think will benefit as going forward.
Dennis McGill – Zelman & Associates: Given that distressed land opportunity I would think are going to be more wonderful [ph] as we move forward and where your balance sheet is currently, when did it make more sense to just part the cash on the balance sheet and walk away from whatever the price have been?
Ian McCarthy: Well you know between deposits and what the long-term obligations were going to be in those communities we certainly looked at that, but these are active selling communities, there was no incremental overhead, no incremental expense on our part to achieve these savings. I think anytime you do distressed asset purchasing or negotiations that asset got distressed for a reason and so there is a risk of not knowing what you don’t now dealing with somebody else’s assets. These are the assets in many cases we have been working through for years and we know them inside out, we know them better than anybody. So, I think others may have a different view, we thought this was a very prudent course of action to reduce our cost and to use our balance sheet in a limited way, while still bring down our aggregate land and land development spending by a material amount in the quarter and for the year.
Dennis McGill – Zelman & Associates: How many of your remaining option deposits will be tied to similar land banking arrangements?
Ian McCarthy: None really, I mean we said that essentially there aren’t any other large land banking type of arrangements that we have, we have individual options in select markets, but there aren’t any other larger opportunities that exit within that portfolio.
Dennis McGill – Zelman & Associates: Okay. That’s helpful. Just one quick question as it relates to the spec, you had mentioned that the increase was seasonal, I was just trying to – maybe you could elaborate on that a little bit more because I think our numbers show it was up maybe 25%, obviously the sales pace was down and you are not incentivizing to the same degree, so I am trying to understand the expectation as you head into the calendar first quarter as you are building that spec?
Allan Merrill: Yes, I think there was about a 12% increase but I think the issue in part was two things, one we ended the year, September, our fiscal year, with sales actually being up year on year and as a result of that, that was one of the factors that we considered, obviously after September 15 with Lehman and all of the things that happened in the market at large that changed but we had gotten down to such low levels, homes under construction at any stage of completion that as we looked into the spring selling season with any kind of improvement at all, even below last year’s level, with any kind of improvement at all we were at real risk at being at a disadvantage of not having homes that could be delivered in a relatively short period of time for buyers. And with the emphasis on first-time buyers and with home buyers who have sold a home having a home available within a reasonable period of time seemed to be a smart strategy. So, it is up a little bit but I think it is still on an overall level. I think if you take the two numbers together, it is about 1100 homes under construction, we are talking about two and three homes per community at various stages of construction, we are very comfortable with that level of construction exposure.
Ian McCarthy: This is certainly an area that we control very closely but when you have cancellation rates in the mid-40s that is going to throw some specs back into the system but it is something we look at all the time.
Dennis McGill – Zelman & Associates: Okay, fair enough. Thank you.
Ian McCarthy: Thanks a lot.
Operator: Our next question is from Larry Taylor of Credit Suisse.
Larry Taylor – Credit Suisse: Good morning.
Ian McCarthy: Hi Larry.
Larry Taylor – Credit Suisse: Just sort of following up on Denis’ question, when you look at what is going on in D.C with something like this $15,000 [ph] credit if it were to pass and will that change your view towards spec, would you turn the dialogue at that point or would you wait to see what the impact on demand was?
Ian McCarthy: Well I think we can tell you just from the experience this weekend, as you know over the last ten days or so there has been a lot more talk about housing now, the administration, congress are all talking about housing, how they have to address it, wants foreclosure modifications and the like and then secondly talk about of this $15,000 credit, the traffic that came out this weekend and the people who bought were certainly talking about that. They would expect to be the beneficiaries of this if this went through because I believe assuming it goes through it will be on closing and not on purchase and not on signing contract, and there is a lot of discussion amongst the buyers who were out this weekend. So I would say, we believe, yes, there would be a positive impact of say a $15,000 tax credit. I think there would be a benefit and if we saw that benefit in the traffic coming through then certainly we might look at the inventory levels that we are holding, obviously we would rather make pre-sales but obviously we would look at that as we went forward. So, a lot of complicated factors to take into account here but I think you can tell by the way that the housing market, the sale market is at historical low level, the apartment market is really suffering as well. There are a lot of buyers, potential buyers doubling up at this time, going back to live with their parents and the like and I think that historically you will see that any stimulus to the economy I think will generate some activity. So we really do believe that that is a very positive impact if it comes through.
Larry Taylor – Credit Suisse: Okay, thank you. Then a separate question, when you look at your stand and I think you gave a number that you netted out as something in the low-to-mid 200 you are spending this year on land, is that going to include any additional options or payments that might be required?
Allan Merrill: The total will have in it $40 million of the $50 million associated with the restructure of these areas land banking agreement. Is there a single new deal in there, there might be, I don’t know off the top of my head but there is an expectation of a significant expansion of new communities that is for sure.
Larry Taylor – Credit Suisse: Okay but those numbers exclude [ph] those payments.
Allan Merrill: They do, they do otherwise they would be down more that is the punch line.
Larry Taylor – Credit Suisse: Okay, thank you.
Allan Merrill: Thanks Larry.
Operator: Your next question is from Lee Brading of Wachovia Securities.
Lee Brading – Wachovia Securities: Hi guys.
Allan Merrill: Hi Lee.
Lee Brading – Wachovia Securities: Just a follow-up on that one question on the land spend kind of (inaudible) roughly $230ish or so in land and land development and you spent I guess in Q1 $60 million, is it simply just run rating we should be looking at $60 million a quarter or is that most of it is going to hit in the next couple of quarters?
Allan Merrill: We said that there is a $20 million component to the restructure that will occur during the current quarter that amount will not be recurring and so it is not going to be absolutely straight line it will be more heavily weighted towards the nearer part of the remaining fiscal year.
Lee Brading – Wachovia Securities: Okay. Just remind me on the inventory, we had the line item land held for sale about $83 million, any update on the status of that and any nibbles out there?
Allan Merrill: There is good dialogue and that is obviously something that we have to look at every quarter and we made a very modest adjustment to the carrying values in those assets during the quarter. I would say that we have asset marketing efforts underway on all of those calendar fourth quarter and our first fiscal quarter just was an extraordinary period of time to try and complete any sale and so there was very little done. I think we still have confidence in our ability to monetize that asset group and we did pretty well with it last year, so I don’t think that is misplaced confidence.
Lee Brading – Wachovia Securities: Okay. On the gross margin asset impairment, decent gross margin this quarter, obviously one of the reasons I would imagine would be just you guys holding your sales price at this point but is there a – with a couple of items up, is gross margin in the backlog, can you give me any indications on that and also is there a target that you are kind of comfortable with, if you can hit 10% or 11% area that seems to be an ideal spot for you guys right now?
Allan Merrill: I wish the business was so fine-tuned that we could just full leverage and manage with the gross margin. Let me correct one thing, I think it is important that what we did with pricing in the quarter from a sales standpoint would have had very little effect on margins in the quarter because as you would know the closings during the quarter would have related primarily to sales in prior periods, so I just want to make that point of clarification. I don’t think that there is a bright line target that we could give you, obviously we encouraged to see some improvement there, over the next couple of quarters we will see whether that is starting to form a new baseline or whether there is opportunities for further improvement from there but at this point I do not have a specific numeric target for you.
Lee Brading – Wachovia Securities: Is it around this ballpark in the background?
Allan Merrill: We are not going to talk about the backlog margin simply because it is not a metric that we have computed in and generally made available. I would say that there is nothing that I am aware of that we feel compelled to disclose that is scary or different by order of magnitude in our backlog, but I do not have a particular number for you.
Lee Brading – Wachovia Securities: Okay thanks.
Operator: Your next question is from Joel Locker from FBN Securities.
Joel Locker – FBN Securities: Hi guys, just was curious on the SG&A if you had the amount of restructuring severance or litigation charges you had in the first quarter?
Allan Merrill: Yes, in the quarter we had about $1 million in severance expense and a little over $2 million of investigation related and legal fees. I think there is going to be some disclosure about that in the Q when we file today.
Joel Locker – FBN Securities: Right. And there is no other restructuring or taking a division down or anything that will hit the second quarter.
Allan Merrill: There is severance, as Ian mentioned, we will have about $4 million in severance during the current quarter related to the reduction that we had in January of about 300, so that will affect the next quarter.
Joel Locker – FBN Securities: Right. The last question on your senior bond covenants, do you have a tangible net worth or you have to redeem some of the bonds, partial redemptions and with that minimum tangible network covenants our tax valuations allowances do you know?
Allan Merrill: I am not sure I got the last part of the question.
Joel Locker – FBN Securities: The tax valuation allowances, are those allowed to compete with the minimum tangible network covenants for the senior bonds?
Allan Merrill: I do not believe so but the answer to your first question is yes, most of the senior notes do have a tangible network covenant at the $85 million level and if it were the case that our network was below $85 million for two quarters, we would have an obligation to make an offer to purchase up to 10% of the notes so far.
Joel Locker – FBN Securities: So it is 10%.
Allan Merrill: Yes.
Joel Locker – FBN Securities: Alright, thanks a lot guys.
Ian McCarthy: Thanks Joel.
Operator: Your next question is from Garner Buchanan [ph] of Beverson Capital [ph].
Garner Buchanan – Beverson Capital: Hi, good morning.
Ian McCarthy: Good morning.
Garner Buchanan – Beverson Capital: Would you expect any benefit from any kind of NOL look back that may be pending?
Allan Merrill: We would have a modest benefit but because of the change in ownership that has occurred, unless there were some subsequent change to 382 language which is independent of the five-year carry back then the effect on us would not be very significant.
Garner Buchanan – Beverson Capital: Okay. And then looking at slide 15 owned lots and then also your press release on the inventory breakdown, all those finished lots those are within development projects in progress?
Allan Merrill: Yes.
Garner Buchanan – Beverson Capital: Okay and then lots for current and future development, what is the split between those and land held for future development and the development projects in progress?
Allan Merrill: We don’t have a breakdown on that.
Garner Buchanan – Beverson Capital: Okay. Alright, thank you very much.
Ian McCarthy: Thanks.
Operator: Your next question is from Timothy Jones of Wasserman & Associates.
Timothy Jones – Wasserman & Associates: Hi Ian.
Ian McCarthy: Hi Tim, how are you?
Timothy Jones – Wasserman & Associates: I am fine. I do not know if I missed it, what was that $18.3 million charge in other expenses or what does it comprise of?
Allan Merrill: Tim, that is the interest expense that does not get capitalized under the interest capitalization rules, so that is direct interest expense.
Timothy Jones – Wasserman & Associates: I got it, okay. And you seem to – you have a tremendous amount of land right now relative to your bid but especially this $400 million of land held for future development, does that bother you that you may have too much in that respect given the outlook for the industry?
Ian McCarthy: No I think Tim we have looked at the land that we are using today, the land was held for sale and the land was held for future development, we look at that all the time, we think those are assets that have a future value to the company and so we are holding on to it as they have been (inaudible) at this time. But if we feel at any time that it is not something we will want to use in the future or the business goes down further, then we will certainly look at that and decide whether we would need to move that across to land held for sale but we look at that all the time.
Timothy Jones – Wasserman & Associates: Can I get a clarification on something you said in your presentation?
Ian McCarthy: Sure.
Timothy Jones – Wasserman & Associates: Yes. You said that and I was wondering you really did not – you said that you only took $12.7 million of impairments on the land and that it was not indicative of future outlook for the rest of the year, could you go a little more into that for me please?
Allan Merrill: Tim, this is Allan. I think we said that we took $12 million that was what the impairment modeling and testing provided. What we said is if house prices or inducements concessions increase during the balance of the year it is possible that impairments in future quarters will be higher because any reduction in price or increase in incentives given to buyers would be a negative factor for the impairment testing models and we did not do much of that in the first quarter. So we just said that the smaller impairment number in light of the operating strategy that we had is appropriate. If the operating strategy is changed as a result of deterioration in the market, then that leads to lower prices or greater incentives to buyers, it could have the follow-on effect of having future period impairments to be larger.
Ian McCarthy: But to be clear Tim, we are not forecasting here that there are going to be substantial incentives going forward, we are just not sure. I think if as the previous caller talked about a stimulus package, if a stimulus package did come in and started to accelerate the sales rate then that might mitigate against future incentives. There is a lot of unknowns at the moment, I will say that I think that new home pricing was really impacted last year by the foreclosures but I think now buyers see the difference between new homes and foreclosed homes, and I think there is a good job being done by the industry in terms of differentiating that. And as I said this weekend we worked very hard in our sales campaigns to talk about not just the initial purchase price of the homes but the cost of living in the home with the energy features that we are putting in. So lot of things like that I think we are going to somewhat mitigate against some of the future prices that we are going to offer to bring the buyers back. So a lot of factors that we don’t understand today we are not forecasting on this call that we will have substantial impairments in the future it is unknown at this time, there are too many variables at this time.
Timothy Jones – Wasserman & Associates: Thank you.
Ian McCarthy: Thanks a lot.
Operator: Your next question is from Alex Barron of Agency Trading Group.
Alex Barron – Agency Trading Group: Hi, good morning, thanks.
Ian McCarthy: Hi Alex.
Alex Barron – Agency Trading Group: Wanted to ask you, do you have some sort of number for like how many lots or what percent of your communities had been impaired at least once?
Allan Merrill: I think there may be some disclosure about that in 10-Q, I don’t have that in front of me but we have given that kind of disclosure, I know we had it in the K and I am sorry I don’t have that right on my finger tips.
Alex Barron – Agency Trading Group: Okay, that is fine. Also wanted to ask do you have like the benefit to gross margins from previous impairments?
Allan Merrill: Yes, I can tell you that that number was in the $25 million range.
Alex Barron – Agency Trading Group: Okay, how about the interest expense through cost of goods sold?
Allan Merrill: That will all be broken out in the 10-Q including the pieces directly expensed as well as the pieces including cost of sales.
Alex Barron – Agency Trading Group: Okay, alright, thanks a lot.
Ian McCarthy: Thank you Alex.
Operator: Your next question is from Jim Wilson of JMP Securities.
Jim Wilson – JMP Securities: Thanks, good morning guys.
Ian McCarthy: Hi Jim.
Jim Wilson – JMP Securities: I was wondering if you look forward the full-year land spend, could you give a little color on what your reworked on option takedown thoughts versus further land development on existing holdings and the second part of that would be has there been any change in focus on geography or could you just even highlight where a lot of that actual land spend is like (inaudible) geographically?
Allan Merrill: Jim this is Allan, it is hard to say, there are a lot of factors and I think you just did a good job of listing many of them off. I think I would start with the point that if you take the land banking restructure out of the equation really suggesting a level of random land development spending, it is on the order of half of what it was in the prior year and it is comprised of some land acquisition and that would typically be in a circumstance where we are taking down finished lots kind of in conjunction with home sales and we are on a program that we are comfortable with that we continue in, there is a very small part of that that we continue to be in the land development side because as we have said for a couple of quarters now with such a large concentration of finished lots or nearly finished lots we are not really facing major land development expenditure in any of our markets. In terms of trying to segment it by geography, certainly there is none being spent in the exit market but I would say that there is probably some combination of land or land development spending in each of our markets over the balance of the year.
Jim Wilson – JMP Securities: Right, fair enough, thanks.
Operator: (Operator instructions) Our next question is from Michael Rehaut of JPMorgan.
Michael Rehaut – JP Morgan: Hi thanks. I just had a follow up on an earlier question regarding senior notes tangible network covenant, you said that if it was under $85 million for two quarters you need to buy 10% of the outstanding notes at par.
Allan Merrill: Correct.
Michael Rehaut – JP Morgan: Is that a part of the entire $1.677 billion in the long-term debt bucket, I know that there are different notes and issuances there, if you could just clarify.
Allan Merrill: Yes, it does not apply to the convert which is $180 million and it does not apply to the sub debt. So I think the total principal amount is in the range of $1.35.
Michael Rehaut – JP Morgan: Okay, great. And it would just be a one trigger of 10% or if you continue to be under that for additional quarters would you have to buy 10% of recorder or would there be any change to that?
Allan Merrill: My recollection Michael is that it is every six months so I think that that would be a continuing obligation after the first six months. We are obviously not there now and so we are at least six months away from facing that the first time, I would be happy to look at that and confirm it to you but of course it is also in all of the indentures. So, I am sorry I don’t know that but I think it is a continuing obligation.
Michael Rehaut – JP Morgan: Okay. And then just one last clarification, there is 503 unsold finished specs and 597 of unsold specs under construction?
Allan Merrill: In various stages, yes.
Michael Rehaut – JP Morgan: Okay, great, thank you.
Operator: Your next question is from Garner Buchanan of Beverson Capital. Garner Buchanan of Beverson Capital, your line is open.
Garner Buchanan – Beverson Capital: Yes, sorry about that. A quick follow-up, regarding the backlog, can you give any figures around how much would need to be invested to bring those to sale?
Allan Merrill: I don’t think we have that figure on hand Garner.
Garner Buchanan – Beverson Capital: Alright, thank you.
Operator: Your next question is from Joel Locker of FBN Securities.
Joel Locker – FBN Securities: Hi guys, just on the tangible networks, where did it stay at the end of the first quarter, I know what the consumer equity is but just wanted to get the number on the tangible network.
Allan Merrill: It is a little over 250.
Joel Locker – FBN Securities: A little over 250. Okay, thanks a lot.
Operator: Your final question comes from the line of Alex Barron of Agency Trading Group.
Alex Barron – Agency Trading Group: Yes, thanks for the follow-up. I was wondering what is the criteria that causes you guys to expense interest versus being able to capitalize it. My quick follow-up was where in the balance sheet are any CDD [ph] obligations?
Allan Merrill: Okay, the CDD obligations are described in the footnote to the financials. They are not on balance sheet viabilities. As it relates to the interest capitalization, it is a complicated thing but the simple way to think about it is there is a flow of assets that are eligible for capitalization, there are other assets that are not eligible for capitalization, you can only capitalize the portion of your interest in proportion to the portion of your assets that are eligible for capitalization and so there is a ratio there that a portion can be capitalized and as and then is related to the cost of sales, the other portion is directly expensed. I think beyond that I will be happy to talk to you about it offline but I think that is probably all the audience cares about it at this point.
Alex Barron – Agency Trading Group: Okay, that sounds good. I will try to follow-up with you, thanks.
Allan Merrill: Thanks Alex.
Operator: I will now turn the call back over to Ian McCarthy for closing comments.
Ian McCarthy: Okay, thank you operator. I would like to take this opportunity to thank all of you for joining us today. A recording of this conference call with the slide presentation will be available this afternoon in the Investor Relations section of our Web site at beazer.com. Thanks very much.
Operator: Today’s conference has concluded. You may disconnect your phone at this time.